Operator: Good morning, ladies and gentlemen, and thank you for joining us today. Welcome to Natura's Third Quarter 2025 Earnings Call. [Operator Instructions] Joining us today are Mr. Joao Paulo Ferreira, our CEO; and Silvia Vilas Boas, our CFO. The presentation we'll be referring to during today's call is already available on our Investor Relations website. I'll now hand things over to Mr. Joao Paulo Ferreira. Mr. Ferreira, you may proceed, sir.
João Paulo Brotto Ferreira: Good morning, everyone. I'd like to start today's call by acknowledging our weak performance this quarter. The results were disappointing, falling short of expectations, both in sales and profitability, even though part of the challenges we faced were deliberate and planned. The main challenges we faced this quarter were: first, G&A. The drop in revenue put pressure on our margins. And while selling expenses were down, total G&A spending stayed above last year's level, driven by the structural investments we have been making. We decided to keep these strategic investments moving forward, including the new consultant network online store as the benefits expected in 2026 are significant. The second challenge was the macroeconomic slowdown, especially in Brazil, where consumer spending was hit harder than we had anticipated. We are not satisfied with our revenue performance in the region. The adjustments we made to our portfolio weren't enough to capture emerging demand trends, largely because the Avon brand wasn't yet ready to respond. That brand could have benefited from the current scenario. And speaking of Avon, I'd like to mention the third challenge. We've continued to see revenue decline for the brand, driven by a slow pace of innovation and new product launches. In the meantime, while we are preparing for its relaunch in the first half of 2026. Finally, challenge #4, they have to do with the final impacts of Wave 2, especially in Argentina. This quarter, the main operational challenges came from Argentina as the major commercial changes affected consultants coming from the Avon network more than we had anticipated. This led to a real drop in revenue in the country made worse by the unfavorable FX movements. Mexico also saw a decline in revenue, though it continued to show steady month-over-month improvements. Finally, in Brazil, the closure of the Interlagos plant caused temporary disruptions in Avon product availability, impacting sales. Despite these challenges, we are confident we'll see progress in the coming quarters. Our business in Mexico is already showing signs of recovery, and Argentina is on track to stabilize by early 2026. In addition, we're moving ahead with structural efficiency initiatives made possible by the post Wave 2 simplifications and harmonization. As a result, we reaffirm our commitment to expanding recurring EBITDA margin in full year or fiscal year '25 versus a full fiscal year 2024, which should translate into stronger profitability as early as Q4 2025. Lastly, our corporate streamlining efforts advanced with the sale of Avon Central America and Dominican Republic and the signing of the agreement of the sale of Avon International. Starting in 2026, once the transformation cycle is complete, our focus will shift towards sustainable growth and delivering returns to our shareholders. I'll now hand things over to Ms. Silvia Vilas Boas, who will walk you through the details of our financial performance for the quarter.
Silvia Vilas Boas: Thank you, JP. Good morning, everyone, and thank you for coming. Before going into the detailed financial results, I'd like to emphasize 2 essential points that JP has already mentioned. First, this quarter has disappointed and frustrated our expectations. Later on, I'll give you more details about it, why? Second, the point regarding corporate simplifications. They are extremely relevant to the company, but they do end up making the comparability of our financial statements very difficult. For that reason, we have included a pro forma in the earnings release to facilitate the analysis. In this presentation as well as in the release and the supporting Excel available in the Investor Relations website, we have already provided adjusted and comparable basis. This means that we show the numbers for 2024 and 2025 already excluding Avon International and Avon CARD. In addition, we consider the results reported by the holding company, both in 2024 as well as in the first half of 2025. Only the third quarter of this year already fully reflects the results of Natura Cosmetics after the merger of the holding on July 1. We know that these adjustments have been recurrent and make the analysis more challenging. But as I said, they are important steps in simplifying and they're close to the end. With the conclusion of Wave 2, we're only missing now the sale of Avon International in Russia. Another important point, as agreed this quarter, the release contains a new disclosure of information we presented during Natura Day. This includes the opening of the operational income statement for Brazil and Hispana in addition to other indicators that will facilitate the understanding of the business and the monitoring of the execution of strategy. After analyzing the new openings, we rely on your feedback to continue evolving. Now let's move on to Slide #5 to detail our revenue performance in Brazil. In the third quarter, Brazil, in the consolidated period, had a revenue drop of 3.7% year-over-year. When we look at the brands, Natura Brazil posted a flat revenue versus the same period last year, but it's important to note the sharp slowdown from the low double-digit growth we recorded in Q2 this year in the Natura brand. This movement mainly reflects the slowdown in consumption that affected the region from June onwards, as we have mentioned before, impacting our performance. Avon Brazil recorded a drop of 17.3% in the quarter. This result was influenced by 3 main factors: the adverse macroeconomic scenario impacting purchasing power, the absence of recent innovations in portfolio, a point we have reiterated as the brand prepares for the relaunch scheduled for the first half of 2026, which will bring a renewed portfolio aligned with the new positioning. And due to temporary operational impacts resulting from the closure of the Interlagos plant completed in October. All production was migrated to Cajamar, which impacted the availability of products. Our inventories are in the process of being rebalanced to reverse the last operational impact, which impacted the Avon brand in Brazil. The Home & Style category fell 9%, in line with Q1 '25, but below Q2 '25, which had been driven by an optimistic campaign in the opportunistic campaign in the category. Regarding the channel's performance, it's important to emphasize the reduction in the number of consultants and their productivity is concentrated in the less productive consultants who are more sensitive to credit restrictions. The most productive consultants continue to grow year-over-year. Finally, regarding the non-VD channels, both the digital channel and the retail channel continue to grow at a healthy pace, but still with low penetration in total revenue, emphasizing the role as important levers for the future growth. Moving on now to Slide #6, which details Brazil's profitability. We can see in the left column of the chart that we went from a recurring EBITDA margin of 23.1% in Q3 '24 to 16.2% in this third quarter. The decline is mainly explained by the deleveraging of G&A impacted by the market slowdown and the maintenance of strategic investments. These investments include the project of new integrated planning, which we mentioned frequently on Natura Day, very important project, which will allow from greater demand accuracy to inventory efficiency. Digitization tools to improve the journey, both for customers as well as consultants and investments in innovation, which includes the relaunch of the Avon brand, which will take place in the first half of '26, which brings us exactly to JP's point. These investments that were already underway are fundamental levers to support growth and results from 2026 on. And therefore, we made the decision not to stop these projects. It's worth mentioning that the initial setup and cost for these projects are concentrated in our main market, which is Brazil, impacting G&A. These very same projects will subsequently be implemented in Hispana at a substantially lower cost than in Brazil. In addition, we had a drop in gross margin of 300 bps year-over-year, as shown in the second column on the slide. This margin, however, remains at a healthy level, and the drop is mostly explained by the strong basis for comparison. As evidence that this gross margin is healthy, figures for the first half of 2025 in Brazil showed a gross margin at levels close to this quarter, but with an EBITDA margin around 21%, reflecting a greater expense efficiency in a period of strong revenue growth. However, we are displeased with this quarter's results, and we need to make our company simpler and more efficient. The sharp slowdown we have experienced has made it even more urgent to anticipate structural actions to reduce expenses, which will lead us to less dependency on the macro scenario and a more agile and efficient organization. Now moving on to Slide #7. Let's analyze Hispana's performance. The region posted a revenue drop of 3.9% in constant currency and 24.9% in BRL. Excluding Argentina, the drop in constant currency was 1.6%, which measures the impact we had in the region due to integration made in July. The Natura brand in the region grew 12.3% in constant currency, but showed a drop of 12.2% in BRL, greatly impacted by the adjustment of hyperinflation. In addition, Wave 2 and general slowdown in consumption in the country brought more pressure to revenue. However, when we look at the performance of Hispana, excluding Argentina, we see the Natura brand growing in high single digits in constant currency. This represents an acceleration when compared to the low digits we had presented in the second quarter of '25. This acceleration is explained by Mexico's performance, which showed sequential operational improvements each month in Q3 until revenue stabilization year-on-year in September. Other countries maintained the good performance presented in the first half of the year. Moving on to the Avon brand. Revenue fell 27.2% in constant currency and 41.9% in BRL, also impacted by hyper and Natura impacted by the integration in Argentina in July and slowdown in consumption in the country. In addition, Avon has also been pressured by the total migration of the physical magazine to hard cover to digital distribution. This, which happened in June impacted the third quarter of '25. Although to a lesser extent than Natura, Avon showed a sign of recovery in performance, excluding Argentina, reducing its decline in the quarter to 15.4% in constant currency versus 20.5% decline recorded in Q2 '25. Finally, the Home & Style category also had strong impact from integration in Argentina and continues to be under pressure by the integration in Mexico, but it's more relevant. The category recorded a drop of 35.9% in constant currency, 48.7%, BRL. The channel's decline after Wave 2, along with the trade adjustments in the integration process led to this sharp decline. Now moving on to Slide #8. In terms of profitability, Hispana presented an EBITDA margin of 4.5% in the third quarter of this year, implying a drop of 100 bps year-over-year, as shown in the chart. This performance is the result of opposing forces. The gross margin benefited from the accounting effect of hyperinflation in Argentina, which, on the other hand, significantly pressured our revenue as we detailed in the previous slide. In addition, the start of capturing efficiencies unlocked in our expenses in the region's integration process was still preliminary and not enough to offset the drop in revenue, leading to a deleveraging of SG&A. Looking specifically at G&A in this quarter, there was an impact from expenses with terminations. It is important to note that they are not included in the transformation costs as they're not related to the Wave 2 process, although they also aim at organizational efficiency for the company. Excluding this impact, general and admin expenses at Hispana would have shown a similar drop to revenue, even with part of these expenses linked to the BRL, which appreciated against Hispanic currencies during the period. Finally, it's worth noting that excluding Argentina, the EBITDA margin improved year-on-year, reflecting the recovery in revenue in Mexico and good performance of the more mature integrated countries. Moving now to Slide #9. Now we're going to look at our results in a consolidated way. We see revenue declining 3.8% in constant currency and 13.1% in BRL, reflecting the slowdown in Brazil, temporary challenges of Wave 2 in Hispana as well as the appreciation of BRL against Hispanic currencies and strong impact of hyperinflation accounting on our Argentina revenue. In terms of profitability, we presented a drop of 350 bps year-over-year on a consolidated basis or 360 bps when we look only at the Latam operation. The 10 bps difference between the 2 performances is explained by corporate expenses, which we previously called holding expenses, which decreased 27.7% year-on-year and therefore, accounted for 60 bps for the consolidated revenue versus 70 bps in Q3 '24. Looking at Latam's profitability here, once again, the G&A issue stands out, which explains all the variation in the EBITDA margin year-over-year and forces the urgency of concluding the setups of our restructuring investments and taking structural actions to unlock efficiencies throughout the organization. Now moving on to quarter's total net income on Slide #10. Our last line was once again impacted by noncash and nonrecurring accounting effects related to our discontinued operations, which are available for sale. This quarter, we recorded a loss of BRL 1.8 billion. This figure mainly reflects the impairment of BRL 2.8 billion in the book value of Avon International, excluding Russia. This loss was partially offset by a gain of BRL 1 billion due to the maintenance of Avon's trademarking and the rights in Latin America as detailed in the material fact dated September 18. It is important to note that the impairment of BRL 2.8 billion is explained by the intention to sell the operation for [ GBP 1 ] and its book value, as shown in the second quarter was BRL 2.8 billion. Regarding net income from continued operations, we posted a loss of BRL 119 million in the third quarter. This represents a worsening when compared to the profit of BRL 301 million recorded in the same period last year. This change is the result of revenues and profitability under pressure. As I have already commented, a worsening of the financial results explained by the unfavorable effect of the exchange rate hedge of our debts in dollars. However, these effects were partially offset by lower tax expenses given the reduction of our EBT in the quarter. In Slide 11, we look at our firm cash flow the 9 months of 2025, it totaled BRL 301 million, which represents a reduction of BRL 81 million when compared to the same period of the previous year. This reduction was driven by 2 main factors. First, operational worsening of results, which, however, was almost entirely offset by the tax line. And second, the deterioration of our working capital, which worsened by BRL 37 million. Analyzing the working capital dynamics, we see a significant improvement in receivables, reflecting the tighter credit we have implemented. This, however, is offset by the worsening in the line of payments and other assets and liabilities. Finally, it's worth noting that our inventory line worsened by BRL 65 million year-on-year, explained by revenue that was lower than expected in this third quarter. Regarding free cash flow, the year-on-year worsening was BRL 172 million. This difference is explained by the BRL 81 million reduction in the firm's cash flow. And the remainder is mostly attributed to currency effects on our cash position. Moving on to Slide 12. My last slide, the one on indebtedness. In this quarter, our net debt was practically stable, BRL 4 billion which reflects the firm's cash flow -- neutral cash flow. In the quarter, the payment of debt interest around BRL 90 million. However, our leverage goes from 2.18x in the second quarter of '25 to 2.53x this quarter. Why is this happening mainly due to the deterioration of EBITDA reported in this quarter in the year-on-year comparison. Finally, it's worth remembering that EBITDA for the fourth quarter of 2024, which is used in the calculation basis for EBITDA for the last 12 months, had a negative impact of BRL 564 million from these strategic projects previously led by the holding, mainly related to Chapter 11 of API. So excluding this effect, the net debt EBITDA metric would be 1.87x in the third quarter of 2025. This is our adjusted leverage number. By the end of the year, we expect to end the 12-month period within our optimal capital structure position between [ 1 and 1.0x ] leverage. Before giving the floor back to JP, I want to highlight that the continued recovery in Mexico, the gradual improvement in Argentina's performance and the capture of benefits from the tactical reductions that we implemented in the third quarter will be the factors that will make it possible to an improvement in margin already in the fourth quarter. And finally, the expansion of the recurring EBITDA margin for the whole of '25 versus fiscal year '24, which reiterates our commitment, which we made to the market at the beginning of the year. I give the floor to JP and then I'll turn -- come back for the questions-and-answer session.
João Paulo Brotto Ferreira: Thank you, Silvia. Before we move on to the Q&A session. I'd like to wrap up the presentation with my closing remarks. As to 2025, I'd like to echo Silvia's comments and reaffirm the expansion of our recurring EBITDA margin for the year. I'd also like to reiterate that this was the last year we reported transformation costs and adjusted EBITDA. We remain confident that we are well positioned to deliver on the ambitions outlined at Natura Day starting next year. Mainly strengthening and expanding our leadership in Brazil and Argentina, driven by the modernization of our direct selling model, strengthening our business in Mexico, accelerating our growth in D2C channels and in the hair care category, reigniting the Avon brand, implementing a more agile business model designed to capture the new strategic opportunities I just mentioned. And finally, realizing the returns from the structural investments we discussed today driven -- or driving gains in efficiency, profitability and cash conversion. That concludes my remarks. Thank you very much. We will now move on to the Q&A session. We'll now begin the Q&A session.
Operator: [Operator Instructions] Danni Eiger, sell side analyst from XP, asks the first question.
Danniela Eiger: I'm just going to ask this one. We see a very challenging macro context, especially in Brazil, but you also mentioned Argentina. And we see other players going through similar situations, that it seems there's not a lot of room to handle all of that. And it looks like that you've taken the initiative to move in terms of expenses efficiency a bit more tactical, but evolving into structural adjustments. Actually, I'd like to explore what else can be done? So first, in terms of structural initiatives, if you can provide some order of magnitude in the key areas would be nice. And when the structural project will be concluded. And on the other hand, what else can be done? I don't remember if it who -- which of the 2 of you mentioned the adjustment on the offers that was not enough. JP, I think you were the one who mentioned. Are you looking at other possible adjustments in portfolio or pricing or somehow in your product offer for a more challenging reality for a longer challenging time? I think Avon is being rebuilt sort of say, but in Natura itself, what are you still looking in terms of opportunities? And also in terms of credit, you talk about credit restriction, it makes sense given the default contact at more elevated levels. Maybe you could use Emana Pay, maybe a bit -- overall the leaders kind of fostering Emana Pay. And if you have some kind of flexibility of using that as a driver or others that I haven't thought about what's in your hand to deal with a more challenging scenario besides expenses.
João Paulo Brotto Ferreira: Let me start by addressing your question about the revenue consumption and then Silvia will field the question about expenses adjustments. Well, we do not foresee any major changes in consumption. We don't detect any trends that will shift the current scenario. Well, having said that, there's always something we can do the first lever credit. We used to be more restrictive as far as credit goes. That's why delinquency is under control, that will impact the work that our consultants do. But in reality, credits, payments and collection we have in our pay system are top quality. So once you migrate the portfolio to the pay gradually, we'll be able to provide credit more efficiently. That's why we're speeding up the migration. The portfolio to the pay, which in turn, will improve the efficiency of our consultants, and there's more. There are regional opportunities. The consumption behavior we have in the Northeast and in the state of Rio Grande do Sul, and we are monitoring that management at the micro level, at the regional level to determine what's more interesting in each one of these markets and then adjusting the portfolio. And the categories that are more profitable at this time of the year, and we are focusing on those segments. Well, having said that, Avon could be a very important lever for this -- at this point in time, but the portfolio is not appropriate unfortunately. In summary, yes, we can make adjustments to try to boost capture at this point in time, especially in Brazil, as well as in Argentina. Over to you now, Silvia.
Silvia Vilas Boas: Danni, thank you for the question. Let me address G&A that was the problem we had in profitability. I'd like to give you more color. As to what we've done so far and what we will still do. Well, this G&A level is not going to be the standard level for the company. This is key. Well, having said that, the book value of G&A dropped quarter-on-quarter. As a percentage of the revenue, we don't see that progress. The slowdown in Brazil was above what we expected. Here's what we started to do when we detected that slowdown. We reviewed our portfolio to shutdown projects that would start this year, we froze all vacancies. We cut on discretionary expenses but that was not enough. That's why we are taking structural measures that are relevant to simplify the organization even further. These measures will bring benefits as of 2026. When we look at G&A in Brazil, we see important impact on projects. As I said and JP said, we decided not to stop. These are projects that had already been going on and they are very important to enable future growth and future returns as of 2026 and they still impact G&A. One of them is integrated planning. We've talked about this project on our Investors Day. It's a complete review that will bring benefits. Efficiency gains in inventory, a very important project that is supposed to -- that we expect to conclude later this year. Other projects related to the digitalization of the consultants journey and the customer's journey, it's also a very important project because the consultant digitalization will allow us to promote direct sales, the non-VD channels and finally, innovation. Innovation impacted G&A this quarter. These are important investments especially when we consider the new Avon portfolio. The kickoff will take place in the first half of 2026. Well, in Minas Gerais, our G&A level has been high. We've had that nominal improvement when compared to Q3 and Q2. We expect to capture additional benefits based on the technical measures that were implemented in Q4 and that urgency to make those structural changes so that we can be prepared for the market.
Danniela Eiger: Let me just ask you a follow-up as far as pricing. Do you consider reviewing prices because of those giftable category? There's a tough competition for pricing, not only comparing cosmetics and cosmetics, but maybe jewelry, chocolates, now considering about the seasonality, is there room to maybe make some price adjustments?
João Paulo Brotto Ferreira: We always look at the price dynamic comparing the market overall competition. As you said, competition is not always in the same category, but we try to make adjustments and we will make some adjustments, but they are marginal ones, even though they're absolutely relevant.
Operator: Our question comes from Luiz Guanais from BTG.
Luiz Guanais: It's Luiz, here. I think 2 questions on my side segueing piggybacking on the previous answer, JP, if you could further explore the top down scenario in the market in different segments where Natura does business. How do you see the trend for the end of the year and early next year, if there's any sign, even if it's a small sign for some inflection in categories, consumer categories? And the second question also segueing to Danni's question is how much room we have for price forwarding or -- thinking about next year, if we could expect some room for price increase for the categories that you do business in?
João Paulo Brotto Ferreira: Well, let me address the market. The market has been slowing down throughout the year, and it's been growing a little lower inflation. The market used to be growing well above inflation rates. And basically, the main driver is the price. Volumes are flat, slightly negative in the beauty category, the more discretionary categories. These are important categories for us. We haven't seen any major inflection signs. I think the slowdown has been halted. That's the impression we get. But these categories are very elastic to available income and prices. So we have to keep on monitoring what will happen to available income. The government is planning to boost income especially for next year and that -- if that happens, that will be helpful. We'll have to wait and see. We've always tried to adjust prices to work on our margins. And we don't see any problems in doing that, especially when you have a leading brand like we do. We have to determine what the price adjustments are not only list prices, but also through innovation. Our pipeline is very strong for next year, a very innovative one for that matter. So I'm confident we'll be able to implement habits to recover margins through prices as well.
Operator: The next question comes from Ruben Couto from Santander.
Ruben Couto: Can you elaborate on your expectations on your consultants network. I think there's the journey effect of those less productive consultants in Hispana, is at a different stage in Wave 2? What can you expect from your consultants base, not only at year's end, but also for next year? Are you trying to increase the number of consultants maybe by benefiting from the macro situation in Brazil, the macroeconomics, but do you remain focused on productivity? There's no room for boosting the number of consultants to offset that slowdown.
João Paulo Brotto Ferreira: Yes, there is room for growth in the number of consultants. The number was indeed affected by the churn of small consultants, which was also affected by credit restrictions. We see a lot of room to restructure our number of consultants in Hispana as well as Brazil. This is one of the growth vectors for the coming years, for sure.
Operator: Our next question is from Rodrigo Gastim, analyst for Itaú BBA.
Rodrigo Gastim: Major question that remain for me was what, in your opinion, was this diagnostics for a gross margin in Brazil. JP made a few comments in the beginning, but I would like to explore. We see the macro slowed down, but the growth of the quarter was a bit below the market growth. You mentioned it yourself that you were displeased with the results JP. Question is, if you could go back in time 3 months, would there have been something you could have done differently in terms of revenue. How much in terms of gross margin? I would like explore and understand that a bit more. But now on the micro side, the initiatives for revenue and gross margin were this combo fall short on the third quarter? And the second question in line with the first one. When you look at Brazil margin, the year-over-year drop when you look at a more stable operation in top line in terms of -- with a more stabilized macro condition. What is the ambition in terms of profitability for Brazil, looking at EBITDA margin? Those are the 2 questions.
João Paulo Brotto Ferreira: You know we want to defend our leadership and even expand our market share. Year-to-date, the Natura brand has been performing well despite being under our expectations even in Q3 but we keep on working to get to that goal. We won't be able to expand share this year for the Avon brand. In the short term, the levers I mentioned before, could have been moved even more substantially to bring in even more revenue, mostly credit we've been speeding up that migration to pay, which will give us more credit alternatives. If we were to -- if we had moved more quickly, we'd be able to adjust the activity in the channel. And assortment by region, as I said, they have different effects . But looking back I think we could have done little bit better. Silvia will address profitability.
Silvia Vilas Boas: Rodrigo, thank you for your question. Let me start with gross margins in Brazil. Gross margin was down when compared to last year. Q3 2024 was very strong, but the gross margin was healthy for Brazil despite this drop when compared to last year. What do I mean? It's healthy. When you look at the first half of the year, our gross margins were at the same level and profitability was around 21% in Brazil. That margin can yield good profitability for Brazil. Looking ahead as far as profitability goes, this is what we said during Investors Day. Profitability has always been strong in Brazil, and we are going to keep delivering on those track record. There are no reasons for the contrary. When we look at 2026, despite all the efficiencies of the structural transitions, you'll be completing the projects this year will allow us to have additional gains in that sense.
Rodrigo Gastim: That was very clear, Silvia. Let me just double check on it. Let me make sure I understand it. Margins for Brazil last year, you have a strong comparable basis. If you could explain why? What pushed that margin up last year when compared to Q3 and revenue was used for operational leverage. What would be a reasonable level for Brazil, just to make sure I understand that right?
Silvia Vilas Boas: Rodrigo, when we look at Q3 last year, the impact was very favorable because of FX movements in a business that had been growing extensively in categories that had higher contribution margins.
Operator: Vinicius Strano from UBS asks the next question.
Vinicius Strano: I have 2 questions. Let me focus on to Natura Brazil. What are the categories that are impacted the most? To better understand what the mix importance is down the road. Looking at Avon now, how are you going to invest in to revitalize the brand? What type of repositioning is? What are the main KPIs are expected results or any expected deliveries, that would lead you to discontinue the brand in the long run. And the last question, it's about Avon International. What's the visibility we have in terms of cash evolution? Do you expect closing it for early next year with no need for additional cash inflows?
João Paulo Brotto Ferreira: The market has been shrinking basically in all its categories, mildly, slightly in the beauty categories. So makeup, facial products and perfumes, it's not a big difference, but daily use segments and beauty segment have been shrinking considering that beauty slightly a bit higher contraction and our business has a bit more items of beauty rather than daily use. In terms of Avon, I can't reveal all the details of the relaunch of Avon, but I can confirm there's a lot of room in the market where this brand really fits in a very well-defined audience. But to that end, the brand has to be repositioned and the portfolio has to be redesigned. I unfortunately cannot share any more details. But of course, we expect to start growing again. The profitability has improved significantly after integration. So the Avon brand has positive contribution margin in all of the reports after Wave 2. So we want to go back to growing even more profitably. If that does not happen, we'll assess possible scenarios at the right time. Okay. So Silvia, Avon International?
Silvia Vilas Boas: Vinicius, Avon International, the plan moves forward as planned. The expectation is to conclude the sale in the first quarter of '26. Now regarding the cash situation, the Avon International team is executing the plan and capturing benefits from the restructuring movements of the first quarter. So there's no expectation of additional cash inflow for Avon International.
Operator: Our next question is from João Pedro, Citibank analyst. João, I have sent you a comment so that you can open your microphone. Our next question comes from [ Luiz Guanais ], Goldman Sachs analyst.
Irma Sgarz: I have 2 more quick questions. Based on the comments of the release, it looks like you see room for greater growth in Mexico. Obviously, there's a whole issue on recovery after Wave 2. But in terms of market share, do you see that maybe there, there's greater room than in other markets. If you could go into detail a bit more, which categories and how you intend to grab this market share in Mexico and especially? And if you could just explain a bit more what you're thinking in terms of innovation, which was a topic that you highlighted significantly in Natura Day, June, July, I guess. If you could speak to how you are protecting this area, shielding this area during this moment where you're seeking greater efficiencies throughout the organization as a whole.
João Paulo Brotto Ferreira: Well, yes, it's true. Mexico is the geography in which we have the largest market share upside because we are the most under-indexed when compared to other countries. There's a very direct and simple driver that starts now, and that's the Natura penetration on the inherited direct sales channel from Avon, a very large channel compared to what we had. And now we have direct access with the Natura brand. So the brand can now go to many more households. That can be translated into an important productivity gain. And on top of that, there is investment to make the brand even more known in that region, just like it is in other countries. And once there's more awareness, we can invest in the brand, and that's a virtuous cycle. And finally, direct sales is not that important in the country. That's why we are expanding our online as well as the store chain using franchises even. So there's a lot of room for growth in the coming years. As to innovation, mostly products that can be innovation, can be commercialization or digitalization, but I would like to focus on product innovation. We have analyzed our pipeline for launches in the coming 3 years. It's been very well defined for '26 and '27, we're very positive about these products, and there's room for some minor changes in 2028 portfolio. And we reviewed the entire innovation pipeline, focusing on those items that can bring in more revenue. And we want to make sure that these high-return launches receive all the necessary resources so that they can perform well.
Irma Sgarz: So it's only fair to conclude that you are focused on fewer SKUs and rather focusing on those that can generate more impact, right? So you're focusing on those products?
João Paulo Brotto Ferreira: Yes, that's right. Yes, you are correct. We're focusing on high-return launches and reducing the total number of launches.
Operator: Alexandre Namioka from Morgan Stanley asks the next question.
Alexandre Namioka: Let me just follow up on Avon. The one to the last slide you mentioned the resumption of the Avon brand as of 2026. Back on the Investors Day, I had the impression you were not that confident about this new relaunch of the brand. What makes you more confident now? Do you believe that these structural investments will be enough? Or do you have to invest in marketing even more maybe to reignite that brand as of next year?
João Paulo Brotto Ferreira: Alexandre, we have a team working on this launch and in the weekly reviews we have for this project, I see greater and greater enthusiasm. The work that's being done is innovative and even refreshing to say. It is a highly promising path, and I'm stoked. It's fair to say that we have not been able, have not managed to do this up until now. The -- so this confidence does not come from extrapolating concrete results. It's fair for us to wait for this to come into reality, but I am very enthusiastic about it. The necessary investments are the regular business investments, but allocated in a completely different way they are today. So the necessary resources are not excessive. They're in line with the size of the business. But in our opinion, they'll be much more efficient and much more productive. In this case, different than in other topics, we'll have to wait and see if our enthusiasm will come to fruition.
Operator: Our next question is João Pedro, Citi analyst.
Joao Pedro Soares: Can you hear me now?
João Paulo Brotto Ferreira: Yes, loud and clear.
Joao Pedro Soares: I do apologize for the tech issue. JP, the point is when I look at the company's top line in Brazil, it looks -- it doesn't look mismatched or disaligned with the Investor Day proposal back to Alexandre's question. The Natura brand apparently gaining market share and Avon is truly reflecting our investments. But when we look below these lines, we see a misalignment or seemingly disalignment between costs and expenses. I'd like to explore and exploit a bit more to understand when you are back to investing in the Avon brand, this will suffer a penalty. There should be some increase in the R&D expenses. There's a phasing seasonality in expenses, which is somewhat challenging to understand. So how do you see this better alignment of the cost and expense structure to reflect the strategy that you yourselves have designed to focus more on the Natura brand. Is that point clear, I hope. And the cash conversion for next year, whether EBITDA or some other operating metric for us to understand the sustainable level of cash conversion for the Latam operation.
Silvia Vilas Boas: João, thank you for your question. And you're right, our income state is not balanced due to that G&A impact. As I said, it has to do with different drivers, be it them from Wave 2 or the fact that we are concluding the project this year that will only yield results next year or the deleveraging. I'm certain that G&A level will be significantly lower next year than the one we had this year. They may come from the capture of the results of the projects or the benefits of this organizational simplification. G&A is misaligned, and we expect it will go back to the right level as of next year. On top of that, in profitability, there are some opportunities to be captured in selling coming from the combination of Mexico and Argentina businesses as well as from other countries. Marketing, as you said, we're not considering investing more in marketing than what the business can absorb. JP mentioned or talked about Avon specifically. Investments will be gradual once we see progress in those plans implemented in 2026. Profitability, of course, we want to expand profitability in 2026 when compared to 2025, just like we've done in the past 3 years. On to cash conversion. On the Investors Day, I showed you that we had above 50% cash conversion in 2024. Historically, before those acquisitions, the company had above 60%. With the end of that transformation cycle and the simplification cycle, we're going back to having a company that is very similar to the company we had before the acquisitions. That is to say we expect to go back to the same cash conversion level we had before.
Operator: This concludes the Q&A session. Natura's third quarter 2025 earnings call is now concluded. The Investor Relations team remains available to address any additional questions. Thank you. Have a great day. [Statements in English on this transcript were spoken by an interpreter present on the live call.]